Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.: 
Operator: 00:06 Welcome to the Five Star Bancorp Fourth Quarter and Year-End Earnings Webcast. Please note, this is a close conference call and you are encouraged to listen via the webcast. After today's presentation, there will be an opportunity for those provided with a dial-in number to ask questions. [Operator Instructions]. 00:30 Before we get started, let me remind you that today's meeting will include some forward-looking statements within the meaning of applicable securities laws. These forward-looking statements relate to among other things, current plans, expectations, events and industry trends that may affect the company's future operating results and financial position. Such statements involve risks and uncertainties and future activities and results may differ materially from these expectations. Among other risks the ongoing COVID-19 pandemic may significantly affect the banking industry and the company's business prospects. The ultimate impact on the company's business and financial results will depend on future developments, which are highly uncertain and cannot be predicted, including the scope and duration of the pandemic, its impact on the economy, the company’s customers and its business partners, effectiveness of COVID-19 vaccines, particularly as new variance emerge and actions taken by government authorities in response to the pandemic. For a more complete discussion of the risks and uncertainties that may cause actual results to differ materially from the company's forward-looking statements, please see the company's quarterly report on Form 10-Q for the quarter ended September 30, 2021. 01:51 And in particular, the information set forth in Item 1A Risk Factors therein, please refer to slide two of the presentation, which include disclaimers regarding forward-looking statements, industry data and non-GAAP financial information included in this presentation, as well as reconciliations to non-GAAP financial measures to their most directly comparable GAAP figures, which is included in the appendix to the presentation. Please note this event is being recorded. 02:20 I'd now like to turn the presentation over to James Beckwith, Five Star Bancorp’s President and CEO. Please go ahead.
James Beckwith: 02:29 Thank you for joining us to review Five Star Bancorp's financial results for the fourth quarter and year ended December 31, 2021. 02:39 Joining me today is Heather Luck, Senior Vice President and Chief Financial Officer. Our comments today will refer to the financial information that was included in the earnings announcement released yesterday. To obtain a copy of the release, please visit our website at fivestarbank.com and click on the Investor Relations tab. In the company overview section we have provided a brief overview of our geographic footprint and our Executive Management Team. 03:17 The fourth quarter of 2021 exhibited continued execution of our organic growth strategy following our IPO in May, as evidenced by our earnings, expense management and balance sheet trends during the quarter. Additionally, loans, deposits and total assets have consistently grown since the previous quarter and year-over-year. 03:43 Our pipeline continues to remain substantial at the end of 2021 within the verticals we have historically operated in, as presented in the loan portfolio diversification slide. Non-PPP loans, a non-GAAP measurement that is reconciled in our press release grew during the quarter by $274.5 million or 16.7%, primarily within the manufactured home community, CRE retail, CRE industrial concentrations of the loan portfolio. Non-PPP loans grew by $563 million or 41.4% year-over-year, primarily in the manufactured home community, multifamily, CRE retail and CRE industrial concentrations of the loan portfolio. 04:40 Approximately $39 million of PPP loans were forgiven during the quarter and $1.1 million of PPP fees and interest were recognized during the fourth quarter of 2021, leaving $22.1 million of PPP loans outstanding and $0.6 million of deferred fees to be recognized at year-end. For 2021, approximately $236 million of PPP loans were forgiven and $6.2 million of PPP fees and interest were recognized. We anticipate the full balance of PPP loans to be forgiven in the near term. 05:25 Loan originations excluding PPP loans during Q4 were approximately $462 million, which is 65% higher than last quarter and payoffs, excluding PPP loans were $194 million, which was 87% higher than last quarter. Approximately $39 million of loans paid off in the fourth quarter were risk rated as watch or classified. During 2021 loan originations including -- excluding PPP loans were approximately $1.0 billion and payoffs excluding PPP loans were $479 million. 06:10 Asset quality continues to remain strong with non-performing loans representing only 0.03% of the portfolio, consistent with the last several quarters. At year-end there were six loans totaling $12.2 million in aggregate on the COVID-19 to forbid program. We anticipate all borrowers to return to their pre-COVID-19 contractual payment status after their COVID-19 deferments end. 06:43 At the end of 2021, the allowance for loan losses totaled $23.2 million. We recorded a $1.5 million provision for loan losses during the fourth quarter for a total provision for loan losses of $1.7 million for the year. The ratio of the allowance for loan losses to total loans excluding PPP loans, a non-GAAP measure that is reconciled in our press release was 1.21% at year-end. 07:14 Loans designated as watch and substandard totaled $8.6 million and $10.6 million respectively at the end of 2021, representing a decrease of approximately $12.5 million and $26.2 million respectively from the previous quarter and $15.6 million and $25.2 million respectively from the previous year end. This reduced our reserves related to classified and watch loans by $0.5 million, which was offset by additional provisions for loan growth during the quarter. 07:53 Now that we have discussed the loan portfolio, I will hand it over to Heather to discuss deposits, capital and the results of operations, Heather?
Heather Luck: 08:02 Thank you, James, and hello everyone. During the fourth quarter deposits grew by $117.5 million or 5.4% as compared to the third quarter of 2021. During 2021 deposits grew by $501.9 million or 28.1% since the end of 2020, of which $201 million of the growth related to non-interest bearing deposits. 08:33 Non-interest bearing deposits as a percent of total deposits for the fourth quarter decreased to 39.5% from 41.5% in the third quarter, but increased to 39.5% from 39.3% for 2021 when compared to 2020. 08:55 We have had strong deposit growth over the last of this quarter's and through the current quarter. Cost of total deposits was 8 basis points during the fourth quarter. We continue to be well capitalized with all capital ratios well above regulatory thresholds for the quarter and the year. 09:17 Net income for the quarter was $11.3 million, return on average assets was 1.82% and return on average equity was 19.15%. Net income for the year was $42.4 million with return on average assets and return on average equity of 1.86% and 22.49% respectively. 09:44 Average loan yield for Q4 2021 was 4.71% and average loan yields excluding PPP loans, a non-GAAP measure that’s reconciled in our presentation was 4.56%, representing a decline of 10 basis points over the prior quarter and 38 basis points over the prior year. The current low rate environment has continued to put pressure on loan yields, which we have been able to partially offset by a decline in cost of funds, which was 16 basis points for Q4 and 19 basis points for 2021 compared to 17 basis points for Q3 and 54 basis points for 2020. 10:31 As a result of these factors, our net interest margin was 3.67% for the quarter, which included $1.1 million of PPP fees and interest recognized based on forgiven loans, while net interest margin for 2021 was 3.6%, which included $6.2 million PPP fees and interest recognized based on for forgiven loans. 10:56 Non-interest income decreased to $1.8 million in the fourth quarter from $2 million in the previous quarter, due primarily to a decrease in the gain on the sale of securities from lower volumes sold. Non-interest income decreased to $7.3 million for 2021 from $9.3 million in the previous year, primarily as a result of a decline in loan related fees, driven by a decrease in swap referral fees recognized in 2021 as compared to 2020. 11:30 Non-interest expense increased to $9 million in the fourth quarter from $8.6 million in the previous quarter, driven largely by increased salaries and employee benefits and an increase in various other operating expenses. Offset by a decrease in loan related expenses as Q3 included a $2,000 accrual for an SBA matter in the normal course of business, this did not recur in Q4. 11:59 Non-interest expense increased to $36.0 million in 2021 from $28.3 million in 2020, primarily due to increases in salaries and employee benefits and increased commissions due to loan and deposit growth, as well as increased professional services for matters related to our IPO. 12:21 Now that we've discussed the overall results of operations. I'll now hand it back to James to provide some closing remarks.
James Beckwith: 12:28 Thank you, Heather. 2021 was a remarkable year of growth renewed purpose and commitment to our customers, employees, shareholders and the communities we serve. Most banks offer similar if not same products. However, no other bank has our engaged team, our speed to serve or our certainty of execution. No other bank has our commitment to treating customers with empathetic spirit, understanding and care. We are proud to have earned the trust of those we serve. This trust has made Five Star Bank an exceptionally attractive organization for business development officers and supporting operational and lending staff to work, engage and experience their own success. 13:15 2021 was an exciting year as evidenced by a robust pipeline, record growth in loans and deposits, new expanded product offerings, new technology and the build out of our verticals, all of which are enhanced by a deep sense of shared purpose. We look forward to continued organic growth story in the capital region in Northern California market. 13:39 We appreciate your time today, this concludes today's presentation now. Now, Heather and I will be happy to take any questions that you might have.
Operator: 13:49 We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Stuart Lotz from KBW. Please go ahead.
Stuart Lotz: 14:10 Hey, James and Heather. How are you guys doing.
James Beckwith: 14:12 Great. How are you?
Stuart Lotz: 14:14 Doing well. So if could just start off on the growth outlook, this quarter was exceptional. Your full year growth ended at 45%. Tough to imagine you guys can repeat that next year, but just trying to get a better feel for where current pipeline standing right now? And maybe what your -- what your initial expectation for year-over-year growth in 2022 looks like?
James Beckwith: 14:42 Sure. Thanks, Stuart. Certainly 2021 was an exceptional year and been a bit difficult to replicate that. But we remain optimistic as we roll into 2022. I think our outlook as we sit here today is low double-digit growth for both loans and deposits. Having said that, I think we'll see -- we'll have a lot more visibility on those numbers, Stuart, at the end of the first quarter in terms of where we're heading. We have attempted and I think I shared this on the last call, to really from an earnings perspective and from a balance sheet growth perspective to deal with a couple of matters. One, the decreased revenue recognition on PPP loans as a negative impact on earnings and also an income tax provision, which we're getting comfortable with as we roll into 2022. 15:43 So we're trying to overcome those -- the two aspects of the earnings drag through loan growth. And we think that we've made great strides in that area. But I think we'll have a lot more visibility in terms of where we stand on that matter by the end of the first quarter. And then also a better sense of where we think the rest of the year is going. There is some uncertainty out there with respect to what the Fed may do and its impact on interest rates. We have a sense that this is really going to be a short end of the curve matter, maybe not so much in the long end of the curve. We would certainly -- we'll see how that works out, but we're prepared and I think we can benefit from those increases on the short end of the curve. 16:30 So, I think I was responsive, but is that responsive to your question.
Stuart Lotz: 16:37 No, that's very helpful. And I guess kind of pivoting on your remarks of the Fed. Heather, I mean, how do you think about asset sensitivity for you guys? I mean, I think if I look at your disclosures, about 7% to 8% of your earning asset base is variable rate and then last cycle looks like interest bearing deposit cost peaks right around 120 basis points. So any kind of color on your asset sensitivity? And how quickly we should see your loan portfolio reprice higher if we do get a Fed hike here in March.
Heather Luck: 17:17 Sure. Yeah. So we are asset sensitive. We've got a sizable cash position, we've got about $425 million as of the end of the year sitting -- that will be repriced immediately. For 2022 and 2023 we've got about $67 million of loans that are tied to the five year treasury that are set to reprice in 2022 and $79 million that are set to reprice in 2023. And we definitely estimate that we will benefit from a rising rate environment probably to the tune of about 75 grand a month depending on the timing on when the Fed raises interest rates. 18:03 Total within all of the loans that are going to reprice over the next two years, we really only need about a 20 basis point to 25 basis point increase to get those loans off their floors. So we'll be in good position for any sequential rate hikes after that.
James Beckwith: 18:18 So, Heather, that 75 a month is really kind of tied into 25 basis point move. So there is more moves then that, Stuart. You can see the resulting impact. And when the Fed continue this move, we'll have those loans come off their floors, which could be pretty favorable for us. So we like where we are with respect to a Fed move and Fed moves, we're not sure how many there is going to be. I heard the other day it [indiscernible] security said there is going to be seven over the next few years. So I think there is a lot of wide degree of opinion, if you will, with respect to what the Fed might do.
Stuart Lotz: 19:00 Okay. And just a follow-up there. Would you be able to quantify what portion of your portfolio would reprice after one hike? And then, what percentage of the portfolios would reprice if we do get a, say, a 50 basis point hike in March?
James Beckwith: 19:19 Well, this was -- to be as accurate as we can, we've got about $110 million book of swaps that are tied to – that are tied to LIBOR that they're going to move immediately, we're one month LIBOR, so we're going to -- see that impact and probably I'm going to say $60 million to $70 million of prime-based loans that are going to move and then, of course, our cash position. So if you aggregate all that up, I think you can see the impact.
Stuart Lotz: 19:49 Great.
James Beckwith: 19:50 And then next to move -- the next 25 basis points move will probably affect the rest of the prime-based loans.
Heather Luck: 19:56 Yeah, so in -- the loans are tied to the 5-year treasury, about $45 million will reprice between Q2 and Q3. We've got a small portion that will reprice in the first quarter of $9.3 million, but the bulk of it will be Q2 and Q3.
Stuart Lotz: 20:15 Tying that altogether, I think the core margin saw some nice expansion this quarter. Really you did not build out your securities book, it really just came from the tremendous loan growth. So how are you thinking about your core margin progressing throughout 2022 and ultimately how many hikes do you have baked in your -- kind of your baseline budget right now? And maybe quantify the upside if we do get, say four to six hikes this year?
James Beckwith: 20:50 Well, that's a -- that could be -- that could be very beneficial to us. And this is a very high level thinking on this in terms of what the numbers may show. But if you've got in the neighborhood of $600,000 -- $600 million worth of assets that you're going to reprice, $600,000 to $700,000 – $600 million to $700 million of assets repricing, you can do the math. On the liability side, we will expect to see some creep in our cost of funds, but certainly that's always a tricky matter too. We do have a pretty significant government book, about $400 million, which is tied to [indiscernible] which could start to creep up, although it's a lagging index. 21:41 But if you could -- you can think every quarter point move is $75,000 a month, Stuart. You can do the math.
Stuart Lotz: 21:56 Sorry, maybe just one more from me. Kind of the core expense growth outlook this year backing out the IPO expenses and some other one-time comp, you were at about 20% annualized growth rate. How are you thinking about core expense growth rate in 2022 if we do see pretty strong double-digit loan growth as well as just traditional expense inflation, given the competitive environment right now?
Heather Luck: 22:29 So yeah, we definitely had some noise in 2020 with the IPO and other initiatives, but you know, we really do have -- our infrastructure for the most part is in place from a personnel perspective, from a technology perspective. We do have some new initiatives for 2022 for build-out. But we land at the year, if you look at our non-interest expense as a percent of assets, we ended up with like 1.42% and we are really projecting in our budget to remain within that kind of 1.42% to 1.45% range. So hopefully that will help give you all some guidance on the non-interest expenses.
James Beckwith: 23:15 Stuart, we don't have any major hiring initiatives right now in terms of building out any units or lifts from anybody else. We've got a pretty solid team in place. So we expect it will -- we intuitively know that we've got a fair amount of operating leverage as we continue to add earning assets. So I think that's a good, that's a good estimate at this point. 23:40 Again after -- 2021 was a great year, but also a pretty noisy year from a financial reporting perspective. And I think this after Q1, I think you'll see our numbers be a lot more visible. And that will be the first quarter under a full C Corp status.
Stuart Lotz: 24:05 Awesome. Thank you for taking my questions today. I will hop back in the queue.
Heather Luck: 24:11 Thank you, Stuart.
Operator: 24:13 Our next question comes from Andrew Terrell from Stephens. Please go ahead.
Andrew Terrell: 24:18 Hey, James. Hey, Heather.
James Beckwith: 24:21 Hi, Andrew.
Heather Luck: 24:22 Hi, Andrew.
Andrew Terrell: 24:23 Hey, James, I apologize if I missed this, but could you maybe size up just for the pipeline for new loans that’s kind of heading into the first quarter. I think it was about $330 million, if I recall, heading into 4Q?
James Beckwith: 24:38 Yeah, we're slightly down from that as we sit here today. But I think it's our sense that that's it's growing. The fourth quarter was exceptional. So -- but it's still -- it's still remains pretty -- very substantial. And so far as we sit here today, January is pretty good month. So we expect, given how deeply penetrated in the market we are with all of our verticals that we're going to have every opportunity to continue to perform well on new loan production. And -- but we're guiding right now certainly less than 40% year-over-year growth, but we think that -- I'm optimistic about our opportunities that we have in 2021. So I would say, to answer your question specifically, I think we're just slightly down from that pipeline we get in Q4.
Andrew Terrell: 25:47 Okay. Very good. Thank you. And maybe just thinking about the constituents of what will drive the net growth in 2022. I think Manufactured Housing is around 27% of the loan portfolio today. Can you just remind us, I guess, the internal kinds of cap, if any, you place on that portfolio as a percentage of total loans? And should we expect that to be kind of less of a growth driver moving forward, just in terms of absolute dollars?
James Beckwith: 26:19 Sure. In our concentration methodology it's all limited by the amount of capital we have and we assigned certain percentages to various asset classes in terms of how much we have. We still have a little room to go with respect to our manufactured home communities, but we're starting to see other opportunities arise right now in the portfolio and the multifamily side which we're excited about. And from the industrial CRE side and from the faith-based side in particular. 26:55 So, we hope that everybody grows at the same rate and in the same dollars, but sometimes one vertical gets out in front of the other, but it's -- all those markets are very strong right now. And I think the manufacturing home community is probably the strongest from a demand perspective. So it's a great asset class, we like it, and we'll continue to monitor it from a credit quality perspective, but I don't see any constraints with respect to any of our verticals right now, Andrew. In terms of pulling the rains back in.
Andrew Terrell: 27:32 Okay, very good. I appreciate it. Maybe just on SBA gain on sale income. I saw that the note in the release that maybe it's a little bit lighter because of some actions of the SBA this quarter. Should we anticipate the dollar amount of loans sold kind of steps up from here? And any reason to think you couldn't get back to the -- I think in 2019 and 2020 you were doing about $17 million or $18 million of loan sales per quarter. Just any kind of updated expectations on just SBA volume and maybe gain on sale margin as well going into 2022?
James Beckwith: 28:10 Sure. It's probably the most difficult vertical to predict in terms of volume and revenue. And we're hoping towards the Q3 and Q4 we will get back to those particular levels of volume, but our bread and butter was doing the $350,000 over last 7, 8, 10-year, equipment loans. That market just really hasn't come back yet. And despite all efforts, I think that the PPP loan process and the idle loan process has really presented up other opportunities for those borrowers that were traditionally looking at those types of credits or that type of funding. 28:56 And I think that hangover, if you will, from that type of lending, the PPP loans and also the idle loans, it's going to take a while to work through. So we've reduced our expectations with respect to what we expect to see. If we do see it, it will be a nice surprise. So in terms of -- in terms of getting back to where we want for, we're all hopeful we'll be able to get back to that level, but in the latter half of the year.
Andrew Terrell: 29:26 Okay, very good. And Heather, just a housekeeping question, just given some of the noise on the tax rate. Do you have a good kind of expected tax rate we should be using for 2022?
Heather Luck: 29:38 I do. Yes. And that was another noisy piece of the income statement this year. So our statutory tax rate is 29.56%. However, if you consider the benefits like our tax exempt income, things like that. We're estimating about 29.26% for the year.
Andrew Terrell: 30:01 Okay, perfect. I'll step back in the queue. Thank you for taking my questions and congrats on good quarter.
Heather Luck: 30:07 Thank you.
James Beckwith: 30:08 Thank you, Andrew.
Operator: 30:10 Our next question comes from Gary Tenner from D.A. Davidson. Please go ahead.
Gary Tenner: 30:15 Thanks, good morning. Couple of questions. I wanted to just ask about kind of the loan deposit ratio. It dipped under 80% first few quarters of this year and then this fourth quarter with the combination of strong loan growth and more moderate deposit growth back up into the mid '80s. Just curious if you could remind us where you kind of like to optimally manage the balance sheet too from that perspective.
James Beckwith: 30:40 Given our capital position, which is enabling us to maybe push that number a little bit, we could operate between 90% and 95%, and that would probably be optimal from an earnings perspective. So we'll see how that goes. But that would – that provide some upside in terms of margin and also net interest income for us.
Gary Tenner: 31:08 In terms of this fourth quarter, core loan yield is down a little bit, what was the new loan production weighted average yield in the quarter?
Heather Luck: 31:21 Yeah. So the weighted average rate for Q4 was 3.98%. The majority of our loans are in multi-family and CRE non-owner occupied and those have heard more around like low fours, high threes.
Gary Tenner: 31:41 And then just one last question from me, on the expense side. I appreciate kind of the range you provided, Heather, on the expense to average asset range. I seem to recall in the past you've kind of talked about maybe moderating or modifying the accruals for commissions, because I think you tend to have a much higher kind of commission run-rate towards the end of the year as your lenders hit their goals and exceed their goals. As we think of the progression over the course of 2023, is the progression that we saw in 2022 is what you'd expect or would you think it will be a little more moderate quarter to quarter.
James Beckwith: 32:23 I think that -- I think that our commission structure the way that it is. I think that -- and this is a function of evolving from a private company to a public company. I think we're getting better at that in terms of making sure that we're on top of the accruals. But as they do, because we have a tiering structure on our commissions and also some bonus commissions associated with interest rate, demand deposit growth and that's a fourth quarter calculation. That's always going to be embedded in our commission run. So there's always going to be a higher degree of commissions in Q4 than other quarters, but we think, just outside of that, I think for the most part it is going to be pretty smooth.
Gary Tenner: 33:09 Thank you very much.
Operator: 33:13 [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
James Beckwith: 33:29 Great, thank you. I want to thank everyone for joining us as we discuss the quarterly and annual results. Today's presentation demonstrated that Five Star Bancorp is continuing on a path of robust organic growth. We are attracting and retaining talent while preserving a culture, driven by the speed to serve and uncertainty of execution. Importantly, our customers trust us and have direct access to us at all times. This is a key differentiator in our market and a driver of customer acquisition as evidenced by the strength of our growing pipeline. 34:04 Purpose and integrity driven banking are foundational to who we are. We continue to build meaningful relationships as we serve our shareholders, customers, employees and community. Please contact me or Heather if you have any other questions. We look forward to speaking with you again after our first quarter to discuss earnings for the first quarter of 2022. Have a great day. And thank you for listening.
Operator: 34:31 The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.